Operator: Greetings and welcome to the Manhattan Bridge Capital Quarterly Conference Call. (Operator instructions.) As a reminder, this conference is being recorded. On today’s call will be Assaf Ran, CEO and Chairman of the Board; Vanessa Kao, Chief Financial Officer; and Stephen Zelnick, Legal Counsel for the company. It is now my pleasure to introduce your host, Assaf Ran. Thank you.
Assaf Ran: Thank you, Devin. Thank you all for participating in this call. I appreciate your time and interest in Manhattan Bridge Capital. I will start with a brief introduction of the company operations and then I’ll proceed with the presentation of the financial results for Q2 2014. Following that we will entertain questions. Manhattan Bridge Capital is the leading hard money lender in the New York metropolitan area and New York metropolitan markets. Hard money lending is a lender to professional real estate developers in order to finance or help them finance their real estate transactions. We lend always against a first mortgage on a listed property as I mentioned in the New York metropolitan area. We insist on personal guarantees from the individuals, the real estate investors. And since the beginning of this line of business back in the beginning of 2007 we have managed to avoid trouble. We have a spotless portfolio with no defaults whatsoever. We focus on smaller transactions, $300,000 to $600,000 although in certain cases we went up to $1.3 million and as low as $50,000. A typical transaction size would be $300,000 to $600,000. Currently the portfolio we operate approximately 75 loans. That with the amounts as you can see, the money as you can see, the financial [results] as of June 30th is approximately $17 million. Though we charge higher rates, usually 12% to 15% annual interest and one to five initiation points, we insist on certain requirements that help avoid possible trouble in those seven and a half years of operation including the two years of the financial crisis. And we insist on as I mentioned personal guarantees, personal guarantors. We conduct rigorous due diligence. We check their credit, their backgrounds, their track record. We want to see that they have the financial capabilities to sustain unexpected challenges, to bear the monthly interest. We insist on the monthly interest; we never allow for interest reserve. We would like to see that they’re no overleveraged. We insist on certain types of deals that we have to qualify to our criteria. We’ve been [defiled] just like most banks on the individuals and then we insist on some equity if they’re going to participate in the deals. We will never finance 100%. We want to see that they come in with their own money even if they manage to purchase the property for a very low price, a below market price; even if their appraised value is much higher than their mortgage amounts, their loan amounts we will insist on equity participation, monthly interest payments, [adjustable mortgage] to make sure that the individual investor, the developer who is the investor is ultimately able to complete the deal and return the money. We focus on three types of deals. The most common is fix and flip where investors will buy real estate property, mostly residential, single- to three-family homes as I mentioned in the New York area – five boroughs, Long Island, West Chester; will quickly renovate it and sell it for profit. This would be the first and most common type. We of course will record a first mortgage on the property. We’ll take the investor’s personal guarantee, some other measures to deter him from turning his back to us in case of unexpected trouble. The second deal type would be small real estate new construction development projects. In most cases investors would purchase a small piece of land and quickly develop a small building on it, and then single- to three-family homes in most cases. These usually take about six to eight months to build and then will be offered for sale shortly and pay us off. The last type would be small income-producing properties. In those cases investors would purchase, enhance the rental income and pay us out by refinancing through a conventional bank. The deal flow is tremendous. We get a lot of potential deals, opportunities on a daily basis through the internet, through a network of mortgage brokers that we’re connected to, word of mouth, a lot of repeat business. We are one of very, very few hard money lenders that are not real estate investors themselves, so we are not competing with our clients who are borrowers and they like that. They are willing to pay us a little bit more for that and they will always prefer us rather than competition that might be their competition as well. And this allows us the opportunity to cherry pick the best opportunities. That is the reason why we managed to stay out of trouble and default free since the beginning and through the financial crisis. So we start spinning the opportunities out over the phone. We ask some basic questions: what is your credit? How is your track record? How leveraged are you? And if we get the right answers with the initial screening we call the potential borrower in for an interview, a personal interview in our office. I ask them many, many questions, I want to know everything about them; and evaluate the characteristics of the individual. And in my opinion that’s key to continue avoiding charge-offs. As they go through the interview, if I believe that they are probably going to qualify we start the more formal due diligence. We collect the information; we run credit reports, background checks. We collect bank statements, tax returns, and we build a file on the individual. And if we like what we see and we feel comfortable lending our money to the individual we then proceed to evaluate the property. We have to understand what value is there; we have to see liquidity. We have to be compelled by the [average] strategy and to be convinced that this business model is realistic. And if all those questions are answered “yes” then we proceed with the legal file. We have a good set of legal documents that was modified and inspected by two different real estate law firms and have proven to deter borrowers from getting into legal battles with us. In the financial crisis when some borrowers of ours stopped paying other lenders they maintained good standards and relations with us. After we complete the transaction we continue to actively manage the portfolio. We keep in touch with the borrowers; we follow on the progress of the project. We check public records for permits, violations, other liens, and we make sure that everything is clean; and if there is a problem we get to be aware of it as soon as possible at a stage where we can get involved and help in bringing a quick and good solution. So just to summarize we focus on smaller loans, development loans, [we described it as one through three]. We always record a first mortgage position; we do not allow for a second position to be recorded unless we are compelled with a very good reason. Up to one year with some exceptions of short extensions in order to be flexible with the long-term loans that are under [other] financials. So any loan that was extended it was only extended for three months or six months, and if we’re extending months it would be classified as a long-term loan. The rates are 12% to 15% of course with its condition subject to market conditions. When the economy is slower and there’s less liquidity in the marketplace we can charge higher rates; when the market is more liquid we reduce rates a little bit in order to attract the best opportunities. We in most cases charge upfront points, 1% to 5% in advance. The loans are balloon notes. We charge monthly interest and then the principal is paid as they exit their transaction, sell or refinance. In order to stay away from trouble we do not allow for cash-outs, we will not do refinances just for the purposes of cashing out of the property they own. We would like to help them make money. If they have a good business plan in which they will generate income we’ll be happy to finance to support. If they just want to refinance a property in order to enhance their quality of life we will turn them to the competition. We stay away from the overleveraged and/or second mortgage. We have to be compelled with a good [average] strategy. They must participate with the home equity in the deal; they will have to come with their checkbook to the closing, we never finance 100%. We want to make sure that they have strong financial capabilities so if there is trouble they will come up with some additional funds in order to make sure that the deal is moving on. Always a personal guarantee, always a monthly interest payment. We recently accomplished a stock offering. We issued additional 1,754,000 shares at a gross price of $2.85 for two major purposes. One is to continue growing the company and two, to qualify the company as a REIT, a mortgage REIT. And initially we were hoping to raise a gross amount of $10 million, issuing 2.5 million shares. Market conditions changed the transaction structure and we ended up with a smaller offering. However, it was big enough to qualify the company as a REIT and we intend to continue paying current cash dividends to shareholders. It’s now approved to be $0.28 per share annual dividend paid quarterly, $0.07 per share each quarter. Unlike other mortgage REITs I would say that there are two major differences. One is that we are less leveraged than typical mortgage REITs. Our leverage is less than 1x on capital; leverage as of June 30th 2014 was approximately $8 million against $9.4 million of our money. It’s extremely low relative to the industry standards and that’s exposing us to less risk obviously. The other difference is that our portfolio is more liquid. Our mortgages are ultra-short-term, one year, up to one year and with some short extensions; and that makes the portfolio turnover rate much, much shorter than other mortgage REITs. And that allows us to modify and adjust our criteria, our policies to market conditions. So if you see that the economy is slowing we get stricter and more disciplined with regards to prices, valuations; and as we see the economy is expanding and getting more liquid we can adjust to different conditions. And the other mortgage REITs are usually lending to homeowners who are financing their own residence. We are lending to real estate investors, professional real estate investors who are usually buying below market – going after estates, short sales, distressed situations. And in exchange for a fast closing and a contract, a purchase contract with no contingencies, no mortgage contingencies and other contingencies they manage to negotiate a lower purchase price. And then they come to us for very fast financing, willing to pay a higher interest rate; yet the first mortgage and the personal guarantees in my opinion are very strong because the LTV is better in my opinion. And so for all those reasons we’ve managed to grow the company constantly since we started to lend our money back in 2007. Almost every quarter is better than the quarter before, and starting this business from zero we managed to increase our capital from about $6.7 million when we started to over $9.4 million while paying cash dividends to shareholders and taxes. We are paying taxes until the end of 2013 and as I mentioned we are planning to avoid, as we are now qualified as a REIT we are planning to avoid paying taxes in 2014 and pay 90%, at least 90% of our earnings to shareholders. Dividend is $0.28 per share. We believe that the company can afford that considering being exempt from paying taxes. The $331,000 operating income in Q2 plus the $7000 of other income makes almost $0.08 per share. We believe that with additional funds that we have raised in the offering and the possibility of increasing the line of credit from Sterling National Bank we will be able to maintain that dividend comfortably. At the moment we have the $9.4 million of capital plus approximately $4.3 million from the offering. In addition to that we have $7.0 million of line of credit from Sterling National Bank at 6% against assignment of certain mortgages, [structural] and my personal guarantee. We also have certain relationships with other lenders and with the same terms of assignment of mortgages and my personal guarantee in most cases. And we pay them a little higher because they’re private lenders. We choose to work with them because we want to have a backup to Sterling just in case they unexpectedly decide to call the line. So we need some relationships with other lenders in order to supplement in that unfortunate scenario. Through the year the company was buying back some shares, altogether 177,000 shares. When we saw that our stock was driving below value we (inaudible) shares for the company. The amount of money that we spent on that was $369,000. It’s a good opportunity to mention that in many cases the management including myself and the Board of Directors was buying shares individually always when the market [didn’t appreciate] us, that’s our feeling. So with that I will open the line to questions from shareholders.
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator instructions.) Our first question comes from the line of Sam Robotski with SCR Asset Management. Please proceed with your question.
Sam Robotsky – SCR Asset Management : Good afternoon, Assaf.
Assaf Ran: Good afternoon, Sam.
Sam Robotsky – SCR Asset Management : As far as the raise that you made you have $1.5 million to be lent out after June 30th. How quick do you expect to lend out the $4.3 million that you have plus extra? What is your timeframe?
Assaf Ran: Well, I can’t really get into projections and into details that weren’t publicly disclosed. However, we were planning for this offering for 15 months. We spoke about it in public filings so we knew it’s coming and we have obviously as responsible people didn’t want to see the money sitting in a bank account. We have new shareholders; we have new shares that are entitled to the dividend so we are highly motivated to put the money to work. We had the time to prepare and I’m optimistic that the money will be deployed in time.
Sam Robotsky – SCR Asset Management : And as far as the money that you’re borrowing from Sterling, would your credit rating have been improved with that? Would the interest rate go down or would it stay the same?
Assaf Ran: Again, that’s projections and information that wasn’t disclosed. However, obviously in the past Sterling increased their line as our own capital increased. We have good relationships with them. The line started about two years ago, two and a half years ago at $3.5 million; about six, seven months later it went up to $5.0 million and then a year later it’s gone up to $7.0 million. And we get nothing but compliments from Sterling so I’m hopeful that they will increase the line. As soon as it would happen obviously we would announce it.
Sam Robotsky – SCR Asset Management : Okay. So this sounds good and this would permit you to maintain the dividend or increase it according to the income because I guess with $0.08 and paying out $0.07 without the additional funds you’ve earned the money this particular quarter – that would appear possible with additional funds. You should be able to earn more than you earned in the June quarter.
Assaf Ran: Well, when we announced the $0.28 per share we were comfortable with the number. We were carefully calculating our comfortable number and that was the number that we were obviously comfortable with, and therefore approved it and announced it. And hopefully we will be able to maintain it. I see that Q2 was on the dollar; in Q3 there are the new funds. And I’m comfortable with the number.
Sam Robotsky – SCR Asset Management : And currently your stock is yielding greater than 10% so it should be a good investment. Good luck, Assaf.
Assaf Ran: Thank you, Sam.
Operator: Thank you. (Operator instructions.) There appear to be no further questions at this time. I’d like to turn the floor back over to management for closing comments.
Assaf Ran: Thank you, Devin. I hope this presentation was helpful. I appreciate your time and I’m thankful for your interest in Manhattan Bridge Capital.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.